Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Pizza Pizza Royalty Corp.’s Fourth Quarter and 2019 Annual Conference Call. During the presentation, all participants will be in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded on Monday, March 2, 2020. I will now turn the call over to Christine D'Sylva, Vice President of Finance and Investor Relations.
Christine D'Sylva: Thank you. Good afternoon, everyone, and welcome to Pizza Pizza Royalty Corp.'s earnings call for the fourth quarter and 2019 year, which ended on December 31. Joining me on the call today are Pizza Pizza Limited's Chief Executive Officer, Paul Goddard; and Chief Financial Officer, Curt Feltner. Our discussion today will contain forward-looking statements that may involve risks relating to future events. Actual events may differ materially from the projections discussed today. All forward-looking statements should be considered in conjunction with the cautionary language in our earnings press release and the risk factors included in our annual information form. Please refer to our earnings press release and the MD&A in the Investor Relations section of our website for a reconciliation and other disclosures relating to non-IFRS measures mentioned on this call. As a reminder, analysts are welcome to ask questions after the prepared remarks. Portfolio managers and media can contact us after the call. With that, I'd like to turn the call over to Paul Goddard for a business update.
Paul Goddard: Thanks Christine, good afternoon and thanks, everyone, for joining our call today. I’ll begin with a few high-level comments on our fourth quarter and full-year results followed by an overview of our successes driving sales growth at Pizza Pizza and Pizza 73. So, for the quarter, system sales increased 3.8% to 146.9 million from 141.5 million in Q4 of last year and for the year system sales increased 1.3% to 553.5 million. In this highly competitive market, we’re also pleased to report the same store sales growth, the key driver of yield growth for shareholders of the company increased by 2.0% for the quarter and increased by 0.5% for the year. As Canada’s Number 1 QSR [pizzeria], Pizza Pizza Limited leverages its market leading positions by staying top of mind with consumers. We believe our leading market share is a result of providing a variety of high quality menu offerings, introducing new products, and investing heavily in technological innovation. And all of this is under – again with our customer first mentality and excellent consistent food and service from our restaurant operators coast to coast. During Q4, at both grounds, we continued executing our long-term strategy of promoting our popular value-based menu offerings, supported by product innovation, and our high quality food. And for both Pizza Pizza and Pizza 73, our marketing strategies are structured to support restaurant profitability, while also driving customer orders and order frequency as placing orders for delivery will pick up to a wide array of digital oriented platforms or of course by visiting one of our 750 locations. Regarding the fourth quarter, our successes are partially attributed to this quarters on-trend product introductions, operational excellence at our restaurants, plus our full relaunch of our Pizza Pizza website and apps this quarter. And examples of new products introduced at the Pizza Pizza our Gourmet Thins, Gourmet Thin Pizzas featuring new toppings like creamy truffle, steak and bleu cheese, and Sriracha with honey. All of these Gourmet toppings are served on a much lighter inner crust, which is shown to be very filling to our customer base. As well, our popular Cauliflower Pizza Crust first introduced the Pizza Pizza back in 2018 was also introduced at Pizza 73 in Q4 this year. And earlier in the year, we launched our Plant-based protein toppings trading at Super Plant Pizza that featured a plant-based pepperoni and also plant-based sausage crumble, both of which have been well received on that recipe. Product innovation showcases our brands continuous innovation of quality progress to meet customers evolving preferences, while always delivering excellent value for money. Additionally, our Delivery Done Better promise, designed to increase delivery traffic, is proving to be a major competitive advantage for our brands and is clearly delighting our customers off late. This delivery promise coupled with our loyalty program as part of our ongoing strategy has set our brands apart from third party delivery apps.  The Pizza industry in general is responding to third party delivery aggregators on price and reliability. And during Q4, we continue to see significant amount of competitive pressure applied by third party aggregators through a substantial amount of discounting and heavy advertising in the marketplace and in a sensible market share. In Q4, Pizza Pizza fully re-launched its [webinars], during the quarter. This is a major tech investment by Pizza Pizza Limited, one that most competitors could not afford, especially smaller brands and independent pizzeria, which when taken as a whole is really a largest competitor we asked out of all those individuals. As a result, we do launched as our digital channels Pizza Pizza became more convenient for customers ordering, which translates directly into an increase in digital traffic and average customer check. In terms of digital orders, our total delivery and pickup orders nearly 60% was placed through one of our many digital channels. And this percentage continues to increase both brands. We will continue to accelerate this conversion of digital ordering to provide customers a wide array of ordering options and platforms, thereby allowing us to do the most convenient choice for our customers and by doing so help place our competitors and critically drive our franchisees and partners operability. And the new and improved website also includes a cleaner and more visual, more intuitive preview of the provided menu option, the offer from Pizza Pizza and you design your own or create your own alternative also provided the user with a huge experience to quickly customize like never before, which is much more intuitive experience. And it also allows customers to remain more easily and ever well informed of the nutritional value of the selection made, which used to be a more tricky to find. And telling our customers about our new products and technological investments is really the job of our in-house marketing team, which employs data driven analytics and business consultant software to optimize our traditional and digital media. And all of this is supported and enhanced by our ongoing innovation across all facets of our business, but particularly that comes to tech innovation and [mineralization]. And that both brands, we will continue to wrap up our usage of various digital marketing channels to generate sales, while varying and choosing our marketing mix appropriately to suit various specialized segments and behaviors. Balancing our media mix between traditional and digital marketing at both in art and science, but in general we are efficiently striking this balance more effectively. And also as a potential last quarter, we are also in the early stages of reimagining our successful Club 11-11 monthly program and based on extensive audit of our consumer base through another research that we have done and that’s ongoing. We’re we were taking our time there to make sure we get it right. I’m sure you might have heard of some other loyalty program offered by other QSR’s out there that cause this year. So, we want to make sure that we’re also consultated with our stakeholder base, our franchisees, customers, and making sure that you get it right if we are going to do anything else there. So, there is [indiscernible] it is going to be sometime before that hit the market, but we’re certainly doing a lot of work on that [indiscernible]. So, really this strategy focuses on value, innovation, customer experience and on quality. It is really key to driving customer traffic and to try to best to the more historical same-store levels, and again increasing that restaurant level over the last possibility. Also, as I touched on last quarter and as we’ve seen over in the media potential is our customer contact centers, we are using some AI, artificial intelligence to speed up the ordering process, and we are still very much in the early stages I will say. It’s not across the country with all of our calling [Q’s for instance], but we have been encouraged by the early stage usage of our customer base, and we are going to also treat the algorithms a little bit and that is promising and in order to basically keep our costs down, speed up service to customers and just provide that more automated present convenient experience and so we’re stated about that, there is still more potential there, and will continue to develop other aspects of our technology platforms as well that will leveraged our in-house know-how and partnering with others as well. So, we will take the order however we can get it, we still like our manner phone call that people make, but the increasing driving accelerating our push to digital and even if you call the old fashion wall the 7-11/11, but still are going to try and automate as much as we can using AI investing a lot of sense. So, really in summary on various strategic investments will continue to drive our brand relevance, and perception and keep us ahead of the competition in top of mind as we further drive convenience in loyalty and levers that [deal] advantage of ours. Just touching on restaurant developments, during the quarter Pizza Pizza opened seven traditional Pizza Pizza restaurants, three in British Columbia, two in Québec, and two in Ontario, and PPL closed four traditional and 13 non-traditional Pizza Pizza restaurants. Additionally, one traditional and two traditional Pizza 73's were closed. And during the year, Pizza Pizza Limited opened 11 traditional Pizza Pizza restaurants five in British Columbia, three in Québec, and three in Ontario, and 11 in traditional Pizza Pizza restaurants were closed. Additionally, eight non-traditional Pizza Pizza restaurants were opened in 2023, or non-traditional locations were closed. And over the Pizza 73 brand PPL closed two traditional and seven non-traditional restaurants in Alberta. And regarding non-traditional restaurants, [indiscernible] of the non-traditional locations versus the traditional ones due to their shorter contractual arrangements and that can be positive or negative, but just to take a look at 30 non-traditional closures, 13 of those were operating cinemas and six were in gas stations and management anticipates returning to overall net positive store growth for 2020 at both brands.  And, as I think we’ve mentioned on prior calls as well, relative to most of our Canadian QSR peers, Pizza Pizza has historically had a lower restaurant closure rate, especially for our traditional restaurants and we do feel that the closure of traditional restaurants that we have gone though it as a result of our management review, long-term underperformers with enhanced focus on that restaurant level profitability across the entire network. So, just taking a more originated even more disciplined portfolio approach, and just focusing on the ones that is succeeding and the ones that are not as certainly repeated efforts, be it operator or competitor issues or have you. We [indiscernible]) needed to said, we are not deliver ones that we don't think are going to [indiscernible] and let’s focused on the ones that are, and let's grow the network aggressively on the offense. So, at the same time, as we said, the non-traditional’s their more volatile, which was a sort of common traction arrangement for the latencies and they often grow or strength in [indiscernible], depending on the nature of the deal and the partnership. And in some markets where we or our franchise partners are underperforming non-traditional location for some time again we have taken a decision not so different from our traditional ones where we just have to look for their partners, somebody is not going to make it, let's close them, and let’s focus more on driving sales and profit growth at the higher volume locations that are doing really well. Also, industries who are mandated to growing net new restaurants, our restaurant reimaging program continues, that’s ongoing. We have well over 25% off our Pizza Pizza’s [indiscernible] that new look and as we said on prior calls, customers do like that new design and it does also evidence our new investment in our commitment to just keeping the brand fresh and relevant. So, that’s an important initiative. So, to wrap up, our internal teams and operators continue to press harder than ever to drive that top line sales growth and restaurant profitability and the overall results for our various stakeholders, including our investors. So, we do feel the strategies came off and we do feel some decent positive momentum at both brands. I just wanted to finish off quickly by thanking our entire team of employees, partners, and franchisees and their families as well that are a huge part of everyone's success here for their [indiscernible]. All of which has really helped us, I think you get to, you know that replace here was going to get about [indiscernible] in spite of being a very competitive market as always and we are starting to [indiscernible] our successes in those as [indiscernible]. So, thanks again for joining the call this afternoon and I’ll now turn ask Curt Feltner, our CFO to provide a brief financial update.
Curt Feltner: Thank you, Paul, and good afternoon. At the end of each year, we like to pause and provide investors and organizational structure overview. So, for investors to better understand the relationship between the public company Pizza Pizza Royalty Corp and Pizza Pizza Limited the private company let’s review the following background. So, Pizza Pizza Royalty Corp indirectly owns the Pizza Pizza and Pizza 73 brands and trademarks through a subsidiary Pizza Pizza Royalty limited partnership. And so the partnership has two partners, Pizza Pizza Royalty Corp owned 77% of the partnership and Pizza Pizza Ltd the private co-owns the remaining 23%. So the Royalty Corp is the top line restaurant Royalty Corp that earns a monthly royalty through a lease agreement with Pizza Pizza Limited, which uses the Pizza Pizza and Pizza 73 trademarks in its restaurant operations. So, the success of the Royalty Corp depends primarily on the ability of Pizza Pizza Limited to maintain and increase the restaurant systems sales and speed it to the royalty in obligations, increases in the restaurant sales are derived both from opening new restaurants and also increasing same-store sales growth. To the partnerships monthly royalty income is calculated as the percentage of the top line system sales reported by those restaurants that are in the royalty pool. So, this royalty pool is expanded at the beginning of each year by adding new restaurant opened in the past year, less any restaurants, which are permanently closed. So, royalty’s loss due to the permanent closure of restaurants are placed with the royalty for new restaurants at the time of the next expansion of the royalty pool on January 1. Until then Pizza Pizza Limited continues to pay royalties as if the restaurants are not closed. So with that background let’s turn to Q4 and 2019 financial results. First, just with regards to touching on same-store sales that Paul mentioned earlier, same-store sales is the key driver of yield growth for our shareholders. For the full-year, same-store sales increased 2% over the same period last year in 2018 sales decreased 2.1%. For the full-year, same-store sale sales increased 0.5% compared to last year same time when sales decreased 1.6%. So, in Q4, Pizza Pizza brand same-store sales increased 2% compared to Q4 2018 when same store sales increased 2.6%. For the full-year Pizza Pizza was flat and for the Pizza 73 brand same-store sales increased 2% in Q4, and grew 3.1% for the full-year.  So, in January 1, 2019 on the adjustment date, the number of restaurants in the royalty pool increased by 14 to 772 locations and this remained unchanged throughout 2019. The Royalty Pool System sales for the quarter increased 3.8% to 146.9 million over the same quarter last year. For the full-year, system sales increased 1.3% to 553.5 million over 2018. By brand for the year, system sales from the 660 Pizza Pizza restaurants in the Royalty Pool increased 0.8% to 462.3 million; sales from the 112 Pizza 73 restaurants increased 4.2% to 91.2 million for the year. So, one note on our Royalty Pool sales, we do conduct an independent audit this year by KPMG and this sales ordered is done and prepared annually. So, now turning to the company's statement of earnings, the following partnership transactions are consolidated into Pizza Pizza or call it financial statements. So, as I mentioned earlier through a lease agreement Pizza Pizza Royalty Limited partnership receives royalty income from Pizza Pizza. Royalty income earned by the partnership increased 3.8% to 9.5 million for the quarter and increased 1.5% to 35.9 million for the year. Using the royalty income, the partnership pays administrative expenses and interest expense before making monthly partnership distributions, and admin expenses for the quarter was 142,000, and for the year was 494,000, but administrative expenses are direct received, audit, legal, and public reporting fees. And as a reminder, the partnership or the corporation has no employees or capital expenditures. In addition to the administrative expenses, the partnership pays interest expense on its 47 million credit facility. Interest paid for the year was unchanged at 1.3 million from 2018. The credit facility interest rate was also unchanged at 2.75%, and this rate of 2.75% will remain unchanged through April of 2020. So, as you recall earlier in Q3 of 2019, the partnership actually entered into a new five-year forward swap arrangement with Charter Banks, which will begin in April of 2020 and will have a new effective interest rate of 2.685%. So, after the partnership receives royalty income and pays admin in interest expense, the resulting net cash is available for distribution to its two partners. So, after the adjustment date of January 1, 2019 when new restaurants were added to the royalty pool Pizza Pizza Limited ownership increased 0.7% to 23%, and the increase is a result of adding additional royalties from the net 14 restaurants. Pizza Pizza Royalty Corp owns the other 77% of the partnership. The company's operating earnings before income taxes for the quarter increased 4.6% to 9.1 million, compared to 8.7 million in Q4 last year, and for the full-year increased 1.5% to 34.1 million. Current income tax for the year was 5.9 million, compared to 5.7 million in 2018 and just briefly regarding earnings per share, using the company's basic earnings per share, certain non-cash investments are made to arrive at what we call adjusted earnings per share. So, the company considers adjusted earnings per share to be a more meaningful indicator by the company's operating performance and its ability to pay the monthly dividend. So, adjusted EPS for the quarter increased 3.1%, and was $0.234 when compared to the same period in 2018, and increased 0.9% for the year to $0.885.  The 3.1% increase in Q4 is the result of the 3.8% increase in royalty income and a decrease in admin expenses. The adjusted EPS calculation is based on earnings, adjusted for deferred taxes and actual interest paid and you can refer to the company's MD&A for a full reconciliation of adjusted earnings. And finally, turning to dividends and working capital in the quarter, the company incurred shareholder dividend of 5.3 million, which is unchanged from the prior year comparable quarter. Payout ratio was 95% for the quarter, compared to 99% in Q4 2018. For the full-year, the payout ratio was 103%, compared to 104% in 2018. The company's working capital reserve is 3.6 million at December 31, 2019. The reserve balance increased in Q4 by 240,000. However, it actually decreased 228,000 for the full-year. With this reserve in place for 2020, the company will target an annual payout ratio at or near 100%. So, that concludes the financial overview, I’ll now turn the call back to our operator for questions.
Operator: Certainly. [Operator Instructions] The first question comes from the line of Derek Lessard with TD Securities. Your line is open.
Derek Lessard: HI, good afternoon everybody. You pointed to an increased check as one of the drivers of same store sales and congratulations on a good number by the way, just wondering how close you are to getting that traffic to finally turn positive.
Paul Goddard: Yes. Derek, we are – 2019 was a year lapping over the 2018 and we talked extensively in 2018 about the increase in the check at that time, which really hurt our traffic significantly. So, throughout the year and we’re talking on a high-level basis using both brands at this point. So, we are systematically working through and with, first of all, we look at how same-store sales has done with the two brands combined at a positive 0.5%. So that’s an indication that things are working the way we wanted to do that. And so, especially with Q4 being 2%. So, we’re getting the ticket moderated and we’re seeing moderate results also on the check. So, we’re striking that good balance at historically we had prior to 2018, so we’re pleased with that.
Derek Lessard: Okay. Alright. And I guess, how much of the same-store sales improvement do you think was driven by your own initiatives? And I’m asking the question versus a lesson in the competitive environment, but it doesn’t seem like that – what was that – that’s going on in currently?
Paul Goddard: Yes. And I would say that we can take some credit, I think, just one example was [indiscernible] comments was the apps and in frequently saw an uptick there following the potential traffic and check and just actual transaction growth in that segment. And so that was our own doing really. We knew that we would love to bring a feeling that that would pay off quickly, which was good. I think on the innovation side, that's been nice is that is a new light that’s alternative across and a super plant side of things. And I think we are really trying to show that, look, we're really low quality. We know how to do great things really knew how to cater to a lot of different tastes and different demographics, but we're not going to forget about our core value customer. So, I think we're, I think, getting some credit there for, I would say, you can, of course, it's very real examples, concrete examples of innovation and picking up the pace on innovation, where I think perhaps we hadn't been doing as much on that front for a little while. I think, we're always innovating, but I think some of the innovations that we've put in place have really been hitting it more successfully. And on the competitive side, I mean, I don't think it's any easier. I mean, already folks are still out there. Some people out there seem to think that they losing some momentum, I think, maybe some of them are. Obviously, there's an issue with profitability with a lot of those platforms, or with the aggregation of those aggregators, I always say, but they are something that a lot of customers do find a convenient option. And so, that's why we believe we need to pay very close attention to what they're doing and how they're presenting themselves, but we're trying to make sure that we promote organic first, and really trying to drive that organic volume, especially digital organic volume, I would say, that's one of our big, big, big focus for us, because we know it’s an advantage – we know we can really push that and people see our tools, they're very easy to use, and we will take the order however you want to give it to us.  And so I think we probably offer more, including our phone, Matthew said; in 11-11 of course, in the 73 number at West, but the digital side, especially recover the data as well. And even if you want to use a third-party platform to come to us while you can, we’ll still take your order, but we're going to [indiscernible] that's organic.
Derek Lessard: And I guess, like how – if we're talking about the ease of use or the app itself, how confident are you that, I guess, it's an easier application to use than some of those, and I haven't used a third-party, to be honest with you. Just wondering how you guys feel, or how you feel that you're positioned with the app versus the third-party?
Paul Goddard: That's a good question. I mean, I think that to get some credit there. And in some of those super, yes, super slick really fast. It's really easy to pay. And so, we've closed the gap and we continue to do that with our functionality on our apps and our web as well. So, I mean, and mobile stuff continues to grow faster than even web, which does grow, but, for instance, payment, prepayment, online payment, I mean, that we offer that very, very easily and seamlessly now as it's as convenient. Certainly, a part of the best third-party platforms right now, but we realized that some people still aren't on those platforms, and maybe not everyone's comfortable being that way up front, and some people sitting up front is well a third-party platform. So, we also offer that now. And even at Pizza 73, we have that prepayment, which we didn't have for a long, long time. So, that's been an enhancement there, but there are people that are still at the doorstep want to pay using their debit card or credit card with our secured TD terminal, where those didn't want to pay cash even though that's a smaller and smaller segment. So, wherever you want to do that on delivery or on walking, same thing, you can tap your card or pay on Apple Pay, we've got a number of different ways to pay. We're just trying to be the most convenient no matter how you want to order from us.
Derek Lessard: Okay.
Paul Goddard: [Indiscernible]
Derek Lessard: Alright. So, I know it's early on this thing and I guess, I want to get the elephant out of the room, but I was wondering, how you guys are thinking about the coronavirus on your supply chain labor, or even how do you view it as a potential opportunity?
Paul Goddard: Yes. It's a good question and it's on everyone's mind. Of course, right now every organization, every business, every household, we’re obviously monitoring extremely close like everyone is. You can see the massive impact in the marketplace, what's happening overseas, and obviously, what's starting to happen over here in North America and in Canada. So, I think there's certainly risks, so we're making sure that we're doing everything we can to mitigate potential risks there. The franchise level and our distribution center level, et cetera. So, I think, on the bright side, I mean, I think we have very, very professional well-trained people are franchisees on the food safety side of things. So, you have any kind of outbreak or even flu and things like that, I mean, I think we have a pretty good track record of not having contaminated food and things like that, or just our procedures are very strong. And so I think that we're just making sure that we're accentuating that even more right now, obviously, given some of the unknown severity and duration of the COVID-19 virus and become a full-blown pandemic is spreading quickly. So, there's a lot of uncertainties, but we're, I think, we're trying to think about things as tough as we can and labor side and things like that could be challenging potentially supply chain. There's no doubt suppliers effective manufacturing in some cases could be effective. So, those are real risks, but I also think that there could be a bit of upside, especially that people start cocooning and delivering more if you get people that have to stay home for the schools are closed, some employees need to be home, et cetera. People might actually say, look, it's just safer for me to order for more food at home for a while. So, if that's the case, we'll make sure delivery drivers are looking good and presentable and world maybe that's a bit of an opportunity for us, but I think you heard us on pickup and walk-in, obviously, if people started to sort of cocoon and hibernate, depending on how severe things get.
Derek Lessard: Yes. I guess, that was my follow-up question, can just remind me what the, I guess, the mixes of walk-in versus delivery or dine in?
Paul Goddard: It’s 60-40, 60 delivery, 40 walk-in and pickup.
Derek Lessard: Okay.
Paul Goddard: This time of year is [workers deciding], which is a good point, birth delivery depending on weather and whatnot and then obviously that's a Pizza 73, it's higher on the delivery side, it’s like 85, I believe…
Derek Lessard: Yes.
Paul Goddard: …precise delivery, we’re certainly a little more hedged in terms of channel.
Derek Lessard: Okay. And maybe just switching gears just to the network growth and you did touch a bit on this on your prepared remarks. And I think you pointed that some of these restaurants were underperformers. Just wondering now like how you look at your overall network in terms of, I guess, in terms of how healthy it is?
Paul Goddard: Right. Well, I guess, we're – I guess, being more disciplined than we ever had. Again, I think we always apply a lot of discipline, but I think we're just trying to look at things extremely holistically, whereas can a store make decent profits, obviously, with the top line sales, how can you keep their cost base down at every unit. And also, I think we start to see a little more patterns of where we are more successful. And we learned from some of our expansions in certain places that haven't gone as well, for instance, or certain rural locations, as an example, we do have some successful rural locations for sure, but we also have some that don't make sense when you consider our entire system. Even if you have healthy sales at that location, for instance, so we have to try and look at things really holistically. So I think, we're just trying to take a little more of a portfolio approach saying, look, we've got about 750 locations here. We can tear down as we do into different categories, and we know that we can nudge the non-performers up quite quickly. So I would say we're very patient, maybe you can criticize us for being a little too patient sometimes, but we also, I think, have a good track record of really getting people back on track, because if our marketing shooting and our execution there and they have been supporting the field from our strong operations, folks, we can see people get really back in action and back on track. So, we're not, at least, some folks might be quicker to shut locations that don't perform after see a year. We tend to sort of given multiple attempts that make the operator at a certain level, so marketing's not quite hitting, what else can we do to help them, right? And so, we've done that and continue to do that, but we also said, look, there – we have to be a little more impatient with chronic underperformers or even ones that maybe after two years or so, three years in some cases or long-term person locations just not working anymore, we need to be bold enough to say, look, it's just not going to do it, let's move it or let's create a new one, focused on new growth and sort of better performance. So, I think it's just a little more rigor and into some much more sort of intense approach to what is the whole economic picture overall and the unit performance with operator obviously being paramount.
Derek Lessard: Okay, that's great. And maybe just a few more from me, you did touch on the AI, can you just remind me exactly what that entails and where you are in that?
Paul Goddard: Well, I’d say, we’ve – it’s ongoing our development and that we are in still early stages. It is live in some markets, we haven't learned across the country. We want to make sure that we were going to be customer feedback, but basically, as a customer, just to kind of keep it fairly simple as we've got a third-party to be partnered with that we looked at for a long time, we think that technology is mature enough. So that basically we call it our phone number, depending where you are and what you, you will receive a robot voice. So, a pleasant voice that will basically take your order and take your address and some basic information and they will handle a basic order or a favorite order, things like that very quickly. But if you decide, look, this isn't for me, I don't like it. You can work. It's a very complex order. You can escalate to an agent very easily. So, it's a much more sophisticated version of a basic IVR system we used to have, it was just hit one for your last order. And we still have that capability, but it's much more robust. So, that's really using AI algorithms basically to make that experience hopefully faster and easier, but realize some people may not enjoy it, they call them they use because they use an app, for instance, because they prefer a human. So, as you're testing it very easy for them to take over the human, but the future development of this, this kind of next phase that we're looking at is to challenge ourselves more to say, look, we want to take the order, even if it is more complex. So, we don't really want people to be getting zero and going to the human all the time. So, that's kind of the next level of the AI, where I think it'll take, I don't know exactly, I don’t say, so many months yet before we get to that more robust full order capability for – especially for orders that are more complex and then – and before we get rolled out more nationally, but it is live, it is working and some to use [ph] and we're actively iterating on that. Another one I would mention is, it's actually more to do with our apps, but we have a voice assist functionality on our app, so that you can actually talk to your app seems a little ironic, but you can actually talk to your app with a pizza assistant. If you care, look at our apps, and speak to it and you can say, I want a large pepperoni and I want three drinks. And it will actually build the order, like a sentence, and then you can be submitted. So, that's already live across the whole system on the app, which we haven't really talked about. And so we’re trying to do things on multiple fronts there to make the process as convenient as possible in our channel you're dealing with, but certainly leveraging the technology condition that we have underneath us and it does not enable us, I think you explore future channels. We haven't yet contemplated as well because of the design of our entire infrastructure.
Derek Lessard: Okay. And maybe just touching on your Delivery Done Better promise, can you maybe talk about some of the wins that you have going on there?
Paul Goddard: Yes. Well, we think that there's certainly some real – very real customer benefit to this Delivery Done Better promise, I think the fact that in one dimension we are [indiscernible] doorstep is our brand. We obviously have the time guarantee as well. And that we're well known for that. And we haven't even really been shutting that from the rooftops the guarantee itself, but it is a benefit. I think, we are very trusted and we deserve the trust. There's accountability if the order goes wrong, and our customers know that. And so as we are promoting digital and whatnot, that door-to-door service is very critical. And I think if the order goes wrong over there, it's also a nice reliable delivery fee. It does vary in certain jurisdictions, but let's say, 350 delivery charge, it's a fixed charge. There's no surge pricing. And so…
Derek Lessard: Right.
Paul Goddard: …I feel that that's something that those – these third parties are very weak on and we have poked a little fun little tongue in cheek. So, more of a playful video campaign we did a little while ago just to make that point. It's faster, more reliable, it's rough and cheaper. So, why would he get it from us, we know how to do it better, we're doing a long time, but we're also a really leading innovator in that space. We're not just the phone number anymore. So, I think that we can point to some of these differentiators. This would be harder and fresher coming directly from us and safer, all that aspect, but – and trying to really promote the benefits of our ordering process as well. And we can make in loyalty as well much more with our own programs, where there is that benefit for customers, but we will take everybody working. It's just that we're thinking about how can we creatively try and move people and perhaps off those platforms as we start getting engaged to those customers.
Derek Lessard: Okay. And maybe just one final one for me, just on your loyalty program, I know you're waiting to – or you’re – I guess, you're trying to get it right and that's important. Just wondering if you have sort of a timeframe that you're looking at for launch?
Paul Goddard: Derek, we have already done quite a lot of work on it, to be honest with you, but we’ve looked internally here. We looked at the – what's working well in our current program, because it’s actually quite successful. We've got a lot of interested people on that, but we also think that we could really take a different approach. And part of the challenge is, how do you evolve your current program and whatnot. So, it is definitely, and I would say, a few quarters out. It's a big project. The nice thing is, though, I think once we kind of land on what are the business rules, what do you want to do here and satisfying all the different constituents as well and making sure that I think the math works well, is that our foundation, our technical platform is in a really good place. So, I think that it won't take as long as prior loyalty scaling up did. I remember talking to you way back during phases and it did take longer, but I think right now, we're just taking more time, not so much on the tech side yet, but more on the design of it and make sure we feel really good about that before we really start the heavy-lifting of the tech development, but I think that part, when you get to the tech development, I think, that will go faster just it's pretty hard to quantify right now. So, I think it's sort of, honestly probably quite late this year or even possibly early next year is kind of my estimate right now.
Derek Lessard: Okay. That's all the questions for me. Thanks for taking them.
Paul Goddard: Thanks a lot, Derek. Appreciate it.
Operator: There are no further questions at this time. I will turn the call back over to the presenters.
Christine D'Sylva: Thank you, Goddard, and thank you, everyone, for being on the call with us this evening. If you have any questions after this call, please feel free to contact us. Our information is on the earnings release. Thank you, and have a good evening.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.